Operator: Good day, and thank you for standing by. Welcome to the CCC Intelligent Solutions Second Quarter Fiscal 2023 Earnings Call. [Operator Instructions]. Please be advised that today's conference is being recorded. I would now like to hand the conference over to Bill Warmington. Please go ahead.
William Warmington: Thank you, operator. Good afternoon, and thank you for joining us today to review CCC's second quarter 2023 financial results, which we announced in the press release issued following the close of the market today. Joining me on the call are Githesh Ramamurthy, CCC's Chairman and CEO; and Brian Herb, CCC's CFO. The forward-looking statements we make today about the company's results and plans are subject to risks and uncertainties that may cause the actual results and the implementation of the company's plans to vary materially. These risks are discussed in the earnings releases available on our Investor Relations website and under the heading Risk Factors in our 2022 annual report on Form 10-K filed with the SEC. Further, these comments and the Q&A that follows are copyrighted today by CCC Intelligent Solutions Holdings, Inc. Any recording and retransmission or reproduction or other use of the same for profit or otherwise without prior consent of CCC is prohibited in the violation of United States copyright and other laws. Additionally, while we have approved the publishing of a transcript of this call by a third party, we take no responsibly for inaccuracies that may appear in that transcript. Please note that the discussion on today's call includes certain non-GAAP financial measures as defined by the SEC. The company believes that these non-GAAP financial measures provide useful information to management and investors regarding certain financial and business trends related to the company's financial condition and the results of operations. A reconciliation of GAAP to non-GAAP measures is available in our earnings release that is available on our Investor Relations website. Thank you. And now I'll turn the call over to Githesh.
Githesh Ramamurthy: Thank you, Bill, and thanks to all of you for joining us today. I'm pleased to report that CCC delivered another quarter of strong top and bottom line results, reflecting both the predictability and mission-critical nature of our solutions. The second quarter of 2023, CCC's total revenue was $212 million, up 10% year-over-year and ahead of our guidance range. Adjusted EBITDA was $81 million, also ahead of our guidance range. Our adjusted EBITDA margin was 38%. On today's call, I'd like to highlight 3 themes that underpin our performance. The first is CCC's durable business model. The second is innovation; and third, the growing adoption of CCC solutions. First, our durable business model. As you know from previous earnings calls and media reports, the auto insurance economy is being impacted by multiple headwinds, including staffing shortages, inflation, supply chain issues, increasing vehicle complexity and rising consumer expectations. These challenges are being compounded by claim counts that have rebounded significantly from the pandemic and are now less than 10% below 2019 levels. Net result of these trends has been a significant increase in repairable, total loss and Casualty cycle times. We recently did a deep dive into a metric we first discussed back in 2021, the cumulative days of cycle time for automotive claims in a year. And by cycle time, I mean the number of days from a claim being open to a claim being closed. Back in 2019, the cumulative days of cycle time for automotive claims in the U.S. was more than 1 billion days per year, a staggering figure with the accelerating macro pressures facing the industry. However, in 2022, that figure rose to more than 2 billion days. To put that in perspective, 2 billion days is more than 70,000 human lifespans. This increase to 2 billion days underscores our claims in the P&C insurance economies need to address operational efficiency. We are uniquely positioned to help because our multi-sided cloud-native network with dozens of solutions links together companies across the entire auto insurance ecosystem. The breadth of our network is unmatched with over 35,000 customers consisting of over 29,000 repair facilities, over 4,500 parts suppliers, more than 300 insurers and 13 of the top 15 automotive OEMs. By connecting these companies and digitizing processes across the ecosystem, our platform increases their ability to be productive, reduce inefficiency and improve communications throughout the claims process, which ultimately can result in claims being resolved faster. Estimate-STP, our AI-based estimating solution for insurers that can pre-populate a complete line-level repair estimate on a qualified claim in seconds using photos from a mobile phone, is a great example of how our solutions speed time to resolution. Today, a repair estimate prepared manually by an adjuster can take hours or even days to schedule and complete, which can negatively impact customer satisfaction as well as costing the insurer over $150 a claim. It also typically involves driving on the part of the consumer and/or the adjuster as well as plenty of paper forms. Estimate-STP's multiple AI models by contrast can prepare the repair estimate in seconds or minutes 100% digitally, thereby reducing the cycle time, administrative expense and the environmental impact of the claims process. Today, the information to prepare repair estimates is collected through 3 channels, known in the industry as method of inspection, or MOI. Roughly 30% of claims are inspected by consumers via the mobile phone self-service channel, but 45% are inspected in the repair facility and approximately 25% are inspected by insurance staff in the field. While Estimate-STP's initial application was using photos from a consumer's mobile phone to prepare an estimate, we want every inspection channel to be able to take advantage of this groundbreaking technology. Towards that end, we are working to expand our Estimate-STP solution and to inject AI-based computer vision technology into the repair facility and field adjuster channels. Using these technologies to assist consumers, repair technicians and field appraisers with inspection has the potential to reduce cycle time in estimate preparation and improve operating efficiency across a much larger set of claims. We believe our decades-long track record of helping clients with the mission-critical operations is a cornerstone of our durable business model and why customers typically adopt more of our products over time. A great example of this was a recent win with a top 20 insurer and a long-time CCC customer who was only using our Casualty solutions and not our Auto Physical Damage or APD solutions. Last month, this customer agreed to add our full suite of APD solutions, including Estimate-STP. This client will be transitioning services from multiple vendors to the CCC platform. We have begun the implementation planning for the migration and expect this new APD relationship to start contributing revenue in the first half of 2024. This is a great example of the significant opportunity and numerous ways we have to expand our solution set with the country's largest insurers. The second point I'd like to discuss with you today is innovation. While we are proud of the network and portfolio of solutions we have built to date, we are still in the early innings of this industry's transformation and remain committed to investing in innovation that will increase the value we deliver to clients. A good example is investments we have made in recent years in our Casualty solutions, which we believe can be a major growth opportunity for CCC. We recently rolled out a new AI-based computer vision technology for Casualty claims that can predict potential physical injuries to the occupants of a vehicle involved in an accident based on photos of the damaged vehicles. This use case links our APD and Casualty capabilities and enables insurers contracting for both sets of solutions to analyze claims early in the process using multiple AI models, helping insurers more efficiently and effectively identify risk, reserve appropriately and guide claims through the claims process. We have a long history of helping our APD clients improve their operating efficiency through early analysis of claims, the initial determination of likely total loss versus repair, for example. And we are now bringing that capability to our Casualty clients as well. This is another example of our AI model development and deployment capabilities, which on a combined basis, represent one of CCC's sustainable competitive advantages. In terms of model development, we have over $1 trillion of historical accident data, which is continuously updated on a real-time hyper-local basis across tens of millions of repair estimates annually. In terms of model deployment, we are already deeply embedded in the work streams of many of our customers across the auto insurance economy, enabling seamless deployment of our AI solutions with a minimum of effort. We continue to see a large growth opportunity for CCC in Casualty. The insurance industry pays out the same amount in indemnity payments for Casualty and Auto Physical Damage each year, with the revenue opportunity in each market being roughly equal as well. Yet today, only about 50 of our more than 300 APD, or Auto Physical Damage customers, also use our Casualty solutions, and our revenue from APD is 4x that from Casualty. Delivering our growing set of Casualty solutions into our APD customer base, therefore, represents one of our biggest growth opportunities with insurers. We're seeing early proof points that our strategy for Casualty is working. In Q2, for example, we added and expanded relationships with multiple new and existing customers. We believe our investments in innovation, combined with our ability to integrate our data and solutions on the APD side of the business, position us to continue to drive growth in Casualty. For my third and final point, the growing adoption of CCC solutions, I'd like to highlight our parts offering. While parts is currently only about 5% of revenue, it is growing significantly faster than CCC overall, and we believe it represents a large opportunity for us. Last year, the collision repair industry spent about $18 billion on parts. Based on our existing business model, we believe parts represents a multi-hundred-million dollar annual revenue opportunity for CCC or more than 5x our current parts revenue. Today, only about 15% of industry parts volume is ordered electronically through the CCC network. We believe that CCC has the opportunity to increase that percentage over time because our electronic parts ordering solutions help improve operational efficiency for automotive OEMs, parts suppliers, repair facilities and insurers through process simplification, integration and automation. Our parts platform brings relevant parties together to increase visibility to buyers into parts availability and pricing, making the entire parts procurement process faster and more transparent. Surprisingly, a meaningful portion of parts are still ordered manually via fax machines and phone calls, which is obviously slow, inefficient, error prone and emblematic of what needs to change to reduce the 2 billion days of annual cycle time. In a world where supply chain disruptions are a regular occurrence, knowing supply and availability at the time of part selection is critical managing cycle time and total operating efficiency. Longer cycle times can mean higher rental car costs and lower customer satisfaction, lower shop and labor utilization for repair facilities and the lower volume of parts sold for parts suppliers. This quarter, we further grew our parts network by expanding the participation of 2 leading automotive OEMs and signing a multiyear extension with 1 of the leading aftermarket parts suppliers. We are pleased with how our parts platform is scaling and are confident that a growing portion of the industry parts procurement will take place electronically on our network in the years to come. Let me conclude by saying that we are proud of what we achieved in the first half of 2023 and are excited about what we have planned for the second half of the year. And we remain confident in our ability to continue to deliver on our strategic and financial objectives. I will now turn the call over to Brian, who will walk you through our results in more detail.
Brian Herb: Thanks, Githesh. As Githesh highlighted, we are seeing strong momentum across our business in terms of innovation and adoption of solutions by our customers. A key component of our durable business is our highly efficient, predictable and scalable financial model that enables us to balance investment in innovation and also drive operational efficiency throughout economic cycles. As we now turn to the numbers, I'd like to review our second quarter 2023 results and then provide guidance for the third quarter and full year 2023. Total revenue for the second quarter was $211.7 million, up 10% from prior year period. Approximately 7 points of revenue growth in Q2 was driven by cross-sell, upsell and adoption of our solutions across our client base, including the upsell of repair shop packages, continued adoption of digital solutions and the ongoing momentum in Casualty. An incremental 3 points of growth came from new logos, mostly with our repair facilities and parts suppliers. I also want to highlight that we saw more than 1 point of growth in Q2 from our emerging solutions, mainly Diagnostics and Estimate-STP. Now turning to our key metrics. Software gross dollar retention, or GDR, captures the amount of revenue retained from our client base compared to the prior year period. In Q2 '23, GDR was 99%. This is consistent with last quarter and with all of 2022. We believe our strong software GDR reflects the value we provide and the significant benefits that are accrued to our customers from participating in the broader CCC network. Software GDR is a core tenet to our predictable and resilient revenue model. Software net dollar retention, or NDR, captures the amount of cross-sell and upsell from our existing customers compared to the prior year period as well as volume movements in our Auto Physical Damage client base. In Q2 2023, software NDR was 107%. This is up modestly from 106% last quarter. Now I'll move to the income statement in more detail. As a reminder, unless otherwise noted, all metrics are non-GAAP. We provided a reconciliation of GAAP to non-GAAP in our press release. Adjusted gross profit in the quarter was $162 million. Adjusted gross profit margin was 77%, flat with the second quarter 2022 and up slightly from 76% last quarter. The flat year-over-year adjusted gross profit margin primarily reflects operating leverage on incremental revenue, offset by the higher depreciation expense from capitalized projects recently released to the market, while the associated revenue from these emerging solutions is still in the early stages of scaling. Overall, we feel good about the operating leverage and the scalability of the business model and our ability to deliver against our long-term adjusted gross profit target of 80%.  In terms of expenses, adjusted operating expense in Q2 2023 was $90.2 million, up 10% year-over-year. Expense growth reflects the impact of the headcount additions in the second half of last year that grew staff month capacity by close to 20% year-over-year. The quarter also included the nonrecurring IT migration costs that we highlighted last quarter. Adjusted EBITDA for the quarter was $80.9 million, up 10% year-over-year, and adjusted EBITDA margin was 38%. Now turning to the balance sheet and cash flow. We ended the quarter with $404 million in cash and cash equivalents and $788 million of debt. At the end of the quarter, our net leverage was approximately 1.2x adjusted EBITDA. Free cash flow in the quarter was $55 million compared to $30 million in the prior year period. Unlevered free cash flow in Q2 was $65 million or about 80% of our adjusted EBITDA. While our level of free cash flow can vary quarter-to-quarter based on seasonality, phasing or onetime items, we expect it to continue to average out to the low to mid-60% of adjusted EBITDA over time. Normalized for the bonus payment in Q1, the year-to-date conversion of our adjusted EBITDA into unlevered free cash flow would be 67%. I'd like to finish with guidance beginning with Q3 2023. We expect total revenue of $215 million to $217 million, which represents 8% to 9% year-over-year growth. We expect adjusted EBITDA of $86 million to $88 million, which represents a 40% to 41% adjusted EBITDA margin in Q3. For the full year 2023, we expect revenue of $851 million to $855 million, which represents 9% year-over-year growth. We expect adjusted EBITDA of $337 million to $341 million, which represents a 40% adjusted EBITDA margin at the midpoint. Two points to keep in mind as you think about the third quarter and full year guidance. The first is that we feel good about our ability to deliver our position for the year. We've raised our revenue guidance for 2023 by $5 million based on the momentum of the business and our durable revenue model that provides good visibility driven from our long-term subscription contracts. This has moved our revenue guidance range from 8% to 9% to 9% growth for the full year. The second point is that we expect adjusted EBITDA margins to step up from 39% in the first half of 2023 to 41% in the second half as we benefit from operating leverage on the incremental revenue and also lapping last year's second half headcount ramp. Overall, the strong trends we're seeing in renewals and the relationship expansion reinforces our confidence in the underlying strength of the business and our guidance. The combination of our durable business model, advanced AI capabilities, interconnected network and broad solution set puts us in a position to help our customers in the P&C insurance economy reduced cycle times and administrative costs while improving the consumer experience throughout the claim process. The need for digitization across the P&C insurance economy continues to accelerate, and CCC is well positioned to drive durable growth in both revenue and profitability in the near and long term. We are confident in our ability to deliver against our long-term target of 7% to 10% organic revenue growth and adjusted EBITDA margins expanding into the mid-40s. As we continue to execute on our strategic priorities, we believe we will generate significant value for both our customers and our shareholders. With that, operator, we're now ready to take questions. Thank you.
Operator: [Operator Instructions] Our first question comes from the line of Kirk Materne of Evercore ISI.
S. Kirk Materne: Congrats on a nice quarter. Githesh, I was wondering if you could talk a little bit more about the opportunity for Estimate-STP outside mobile and self-service. I think before, you guys were thinking only about 30% of the market was sort of available to STP. That would seem to expand the TAM pretty dramatically if you can go through other channels or other claims are now eligible. Can you just talk about that a little bit and how that maybe changes either your thoughts on attach rate or the TAM?
Githesh Ramamurthy: Yes, sure. Thanks for the question. First and foremost, our mobile clients are continuing to adopt and roll out Estimate-STP, and we've got different states kind of continuing to move, more clients continue to adopt. And just as a reminder, we have mentioned in the past that our total Estimate-STP volume, while it's still a little over $1 billion, still less than 1% of our total volume. So I just want to make sure you understand that part. Second, we have been testing this capability out with insurance staff adjusters who also will need this capability, and the receptivity has been terrific. So it does expand the TAM to a 25 -- an additional 25% that's insurance staff. As we continue to work with repair facilities, which is 45% of all inspections, we've been testing this capability with repair facilities, and we are seeing some real benefits in the ability for a repair facility to get -- not only get the photos from consumers but also get a sense for what the repair would cost and what an estimate would look like that provides some real efficiencies. So very early stages on the second 2 use cases we talked about, but it does expand our TAM, and also a reminder that Estimate-STP is part of a much broader straight-through processing solution for us.
S. Kirk Materne: Great. That's super helpful. And then Brian, just so we think about it correctly. As we go into the back half of the year, in terms of net retention, can you just talk -- sorry, a net dollar retention, should we be expecting it to remain around this like 107% range? Kind of how should we -- I know you don't guide specifically. But any changes we should be expecting on that front?
Brian Herb: Yes, absolutely. Yes. If you look historically, we've been around 106% is kind of a steady-state position. We did 106% last quarter. We did 106% in Q4. Obviously, we did 107% this quarter. We feel good on the 107% and the overall momentum and progress in the business. So I think it's going to be in that range, 106%, 107%. It will move around a bit quarter-to-quarter, but that's how we think about it. Certainly, as we go longer term, we have highlighted that we think cross-sell and upsell will move more like 80% of total growth and new logos will be 20%. But that's medium to longer term as we step towards those growth rates.
Operator: Our next question comes from the line of Dylan Becker of William Blair.
Dylan Becker: Congrats on the results here. Maybe starting on the AI kind of theme. You talked about casualty detection capabilities. You announced the partnership with Verisk for fraud detection. Githesh, I wonder how you think about the potential for AI and automation to change the core kind of underwriting workflows and decisioning process for carriers. And maybe effectively, is it digitizing existing but also unlocking entirely new capabilities, maybe new shares of premiums? How should we think about that potential?
Githesh Ramamurthy: The short answer is that over the long term, it does open a lot of other avenues and capabilities, especially if you look at the -- what happened with P&C insurance, right? In 2022, for example, the P&C insurance had a combined ratio of 102%, and auto -- personal auto had a combined ratio of 110%, which has been pretty challenging. And so over the long term, we do think there will be other use cases, but we are not focused very deliberately on those use cases right now. For example, the ability to -- when you insure a car, to be able to take pictures around the car, look at the damage on the vehicle to get fraud checks and other things when you underwrite that vehicle, the AI is absolutely applicable but -- over the long term. But that's not what we're focused on today.
Dylan Becker: Okay. That makes sense. And then going back to kind of that 2 billion cumulative days metric, which I mean, I think it's just fairly mind-blowing. We've talked about complexity in the past, maybe touching on frequency and severity. The perception that maybe, I don't know, even EV brings it down over time. I think some of the early stats point to the contrary there. I guess how you're thinking about the trend line of not only frequency and severity as it pertains to EVs, but then the positioning of repair facilities to actually address this growing mix of work because, again, it doesn't seem like 1 billion going to 2 billion, there's room for that number to continue trending higher?
Githesh Ramamurthy: Yes. Sure. So first of all, from a frequency standpoint, frequency has been coming up a little bit but still below 2019 levels, probably 7% to 10% below 2019 levels. But what has happened is that the complexity of repair has increased significantly. Let me give you a couple of stats to illustrate this point. So if you look at repair costs, 75% of the increase in repair costs between 2018 and 2022 came from really 2 categories: the number of parts in the vehicle and the amount of labor hours in the vehicle. That accounted for 75% of the increase. So in 2021, we saw a repair cost increase of 11.5%. In '22, we saw a repair cost increase of 13.5%, and that has abated somewhat. But underlying this was really the fact that in 2018, we had 10.1 parts per collision repair and in '22, that had increased to 13.1 parts. So in other words, every repair, every collision repair just over that 4-year time frame, you've got 30% more parts going in with inflation coming in, and you also have more specialized labor coming in. So labor hours have gone from about 24 hours to a little over 27 hours. So when you take these 2 things, all of these factors in, this is what we've talked about is the growing complexity of repairs, the growing complexity with EVs. EVs are still almost 35%, 40-plus percent more expensive to repair. And since we see a very -- a decent volume of EV going through our platform, it's still only 1% of claims, even though EV sales are now around 6% of sales. We see this growing -- fundamental growing complexity is really what we're trying to address and hence, the number that we see going from 1 billion days to 2 billion days and part of it is also due to supply chain issues, which are starting to normalize. But underneath all of this is really complexity that we need to help every single one of our customers help manage.
Operator: Our next question comes from the line of Gabriela Borges from Goldman Sachs.
Gabriela Borges: Githesh and Brian, we talk about the consistency and the durability of growth in the business model every quarter so I splattered it out for you. As you reflect of the year-to-date, what has surprised you? Where are you seeing things that may be are more technology adoption to the upside? Is there anything that surprise you to the downside? Just a little bit of a reflection on how the year has gone relative to your internal plan.
Githesh Ramamurthy: Yes. Maybe, Gabriela, I'll take that first, and maybe, Brian, you can add to that. Part of having done what we've done for a fairly long time is that our business fundamentally tends not to have too many surprises and which means many of the trends that we're seeing either in terms of technology or things that we're able to see with the visibility of the data that comes through the platform, we're able to see this. With this said, one thing we are seeing, I would say, at a macro level, is that when we talk to our clients across the entire economy, whether it is OEMs, car companies, parts providers, insurers, repairers, the general sense of leaning in to use technology more aggressively than they were in the past to improve efficiency and to solve for shortage of labor, that is one that we are consistently seeing across the board. Again, it doesn't necessarily change things on a week-to-week or month-to-month or quarter-to-quarter, but having seen this for a long time, we are seeing much more acceptance of being able to deploy process efficiencies and tools to deliver a differentiated customer experience. I don't know, Brian, if you want to add anything to that.
Brian Herb: No, I think you've covered it well. I would just also highlight just the -- clearly, at the macro, there's a lot of -- it's a dynamic marketplace we're operating in. That said, we have really good client engagement and overall, a lot of positive feedback from clients and how we're engaged with them. So I think that's just another important thing that's happening with our business in a dynamic marketplace.
Gabriela Borges: Good to hear. My follow-up is on the Casualty business. I believe last quarter, you talked about Casualty volumes impacting about 1 point on the NRR. How should we think about Casualty volumes on a quarter-to-quarter basis? And any volatility in that metric? And as you gain momentum in Casualty, would love to hear what you're seeing in terms of competitive response from the 1 or 2 incumbents who have good positions in that space.
Brian Herb: Yes, on the Casualty, maybe I'll let Githesh talk around the competitive point. I would just say from a -- the revenue performance, Q2 came in line with expectations and performed well. We're happy with the overall performance of Casualty. We're happy with the momentum that we're seeing across Casualty and the ongoing strength, and so we feel good on where we landed with Q2. We feel good on what's ahead of us in the second half of the year. Maybe one small point of clarification. We talked about the Casualty impact in Q1. Casualty is not in our NDR calculation, Gabriela, just as a point of clarity. When we referenced it in Q1, it was in reference to total growth and the overperformance in Q1, so just a small little mechanical point there.
Githesh Ramamurthy: Yes, Gabriela, regarding the second part of your question, we never underestimate what others are doing. And we do have history in whether it is in the repair facility side of the business or the Auto Physical Damage side of our business with insurers of really focusing on incredible innovation and differentiation in terms of what results we can deliver. And so much of the work we've done over the last several years to position our Casualty platform, including some of the AI examples that I talked about earlier, we think those are really helping to differentiate us. And also remember, that many parts of the system where the processing is still manual and a lot of manual handoffs and other things taking place, a lot of bills coming in are still paper coming in. So there's just a lot of opportunity there as well.
Operator: Our next question comes from the line of Saket Kalia of Barclays.
Saket Kalia: Githesh, maybe just to start with you. I was wondering if you could just talk about the new top 20 APD win here in the quarter. Great to see it because I think you've already got the majority of the top 20. But maybe the question is, from your discussions with the customer, what do you think prompted them to move to CCC? And are there other opportunities for cross-sell like this within the Casualty business? Does that make sense?
Githesh Ramamurthy: Yes, absolutely. Let me clarify one thing to start with, right? We've said on the -- we said this was the only customer that was using -- in the top 30. This was the only customer that was using CCC for Casualty, but not using us for Auto Physical Damage. So this customer -- so every other customer we have in the top 30 uses CCC for Auto Physical Damage and occasionally for Casualty. Casualty representing a much smaller customer base across the top -- our largest customers. So is that clear? So this customer now will not only be of the Casualty customer but will now also use our full suite of Auto Physical Damage. I think what -- through the evaluation process and where they were, they saw, I would say, a handful of benefits. First and foremost, the breadth and depth of our network and our ability to deliver differentiated performance given we have the widest network of parts providers, repair facilities and the like. Second, I would say, is that very unique innovation that we have put in place. The innovation, for example, with Estimate-STP in a number of areas where, on a single platform, you can get all of these components connected together and delivered. And third, and I would say last, if not the least, is when you have a Net Promoter Score of 80-plus, which is industry-leading, that also lends itself to fantastic references from other customers who have been using the platform, and nothing equals having great references for what you do for your clients.
Saket Kalia: Absolutely. Absolutely. Congrats again on the win. Brian, maybe for you, just to stay on this topic, were we expecting this top 20 win this year? I know it's not going to contribute to revenue more meaningfully until the first half of '24. But can you just maybe talk about how big this contract could be and whether it's contributing at all to this year's increase in the guide?
Brian Herb: Yes. No problem. So yes, this deal has been in the pipeline, as you would expect, for a while. So we had visibility that this was coming in. We are not expecting any revenue to contribute this year on this deal. So none of the update on the guide reflects this deal coming in. We expect it to start to contribute into next year. We don't talk about the specific economics of any individual deal. I would just say it's certainly going to -- it's part of the guide for next year. We're not going to give specific guidance, but we are continuing to reiterate the 7% to 10% as our long-term guide, and we feel that this will help contribute to the guide into next year.
Operator: Our next question comes from the line of Michael Funk of Bank of America. .
Michael Funk: First one, just on the longer-term revenue growth target of 7% to 10%. You provided that for some time, so thank you. But you're looking at the growth drivers in this quarter, you said 7 points cross-sell, upsell, 3 points new logos, and you gave incremental color on the 1 point -- sorry, more than 1 point for emerging solutions contributing to that. Just thinking about emerging solutions, the  Estimate-STP, the larger TAM potential there, have you had discussions about increasing that longer-term growth target? And I guess, if not, why?
Brian Herb: Yes, happy to take it. It's Brian. Yes. So the 7% to 10%, we set out as a long-term guide, one that we feel comfortable that we can deliver over time and do that at scale. We have been highlighting these emerging solutions and how they'll play into the guide. We do expect the emerging solutions to contribute within the guide. And so it gives us confidence that we can deliver the guidance over time. The way we framed it is we've said, over time, cross-sell, upsell will be 80% of the total growth, new logos will be 20% of the total growth and that these newer emerging solutions will make up about half of the 80%. So think about that, 3 to 4 points of growth will be coming from the emerging solutions. That said, we certainly think about our business as a broad set of solutions and have many opportunities to win and to grow the business. So again, we really think about this as how we think about the confidence of the guide and our ability to deliver it over time.
Michael Funk: Sure. And one more if I could. Last quarter, you gave some details on how you're thinking about deploying and rolling out Estimate-STP in a very deliberate fashion. Can you give us any more color on the road map for deployment? How should we think about scaling that deployment and potential for revenue ramp through Estimate-STP and other AI-related products?
Githesh Ramamurthy: Sure. One thing that you might find interesting is that when we look at mobile and really Estimate-STP and AI on the self-service channel, we have customers who are using that capability at 90-plus percent of the time, and we have customers who are using that capability 5% of the time. So there's a wide range. And as different customers have different business models and different needs, we are seeing really 2 dimensions. One, more customers adopting these solutions as each week and each month goes by. Second, the customers that have adopted it are tuning, testing their processes to take advantage of these capabilities. They'll usually start in 1 state or 2 states or a group of states, and some customers are all the way up to 49 states, and some customers are at 1 or 2 states. And we have been very, very deliberate and thoughtful to make sure that the early experiences, the accuracy, all of that continues to be rock solid. And having delivered a lot of products to the industry over a very long period of time, maintaining an industry-leading NPS of 80 plus is super important to us. And so we think we feel good about how the first large -- as more and more clients continue to use it. So we think that will continue to move. And then I'm sure Brian would give you this answer, which is that we've included all of this in our guide of 7% to 10% when we gave you that guide.
Operator: Our next question comes from the line of Tyler Radke of Citi.
Tyler Radke: I wanted to ask you about the parts side of the business. You talked about how it's growing significantly faster than the overall CCC business. Just help us understand kind of the pathway to get to the $100 million-plus potential you referenced. Is that mostly existing products today? Or talk about kind of some new opportunities you're seeing? Obviously, a lot of talk around inflation in supply chains being potential catalysts, but maybe just expand a little bit more on how you see that opportunity playing out.
Githesh Ramamurthy: Sure, Tyler. I'll give you a quick update, just from a macro standpoint, right? When you look at the number of dollars of parts that are ordered by the collision repair industry in the U.S., it's somewhere between $18 billion and $19 billion -- sorry, $18 billion and $19 billion. That's -- of parts that are ordered. And the other thing that you probably heard from an earlier stat is that the number of parts has gone from about 10.1 to about 13.1 over the last 4 years. So the number of parts are increasing. Supply chain complexity is increasing, especially as you add EVs and other things. And so therefore, if you really want to manage cycle time, understanding availability of parts in that particular geography, in a hyper local geography, let's say, I am in Macon, Georgia and I need to know the parts availability in that area for that vehicle on that particular day so I can make the right decisions about which parts to use, those decisions become increasingly complex and have an impact on cycle time as everyone is trying to reduce it. So we think we are roughly at about 15% adoption, 15% of GMV going through the CCC parts platform. We have a pretty broad network of parts providers, OEM providers. These are the car companies, aftermarket providers, including one we just extended a contract with. And what we're seeing with that is that with specific OEMs are running specific programs on the CCC platform. At the same time, our insurance customers are also very keen on having transparency into parts and the deployment of parts. So it's really a combination of that transparency between parts providers, car companies, repairers and insurers providing one common platform across the board. So it does not involve us radically rebuilding or rethinking our parts solution but continuing to do extensions. And hence, what we did a couple of -- last year, if you remember, when we did the earnings call a few quarters ago, we kept saying we've added 20% development capacity. And that development capacity was deployed in a number of areas, including expanding and enhancing our parts operation. So it does not require a radical change in our approach and strategy, but more will come from increasing adoption from our customers.
Brian Herb: And Tyler, just to add to the point. It's Brian. Just on your market sizing math, we talked about the parts being about 5% of revenues, so say, $40 million, and as Githesh said, about 15% is running through our platform, so if you just extrapolate those 2 out, that's where you get the sizing of the opportunity.
Tyler Radke: That's helpful framing. For a follow-up question, I just wanted to ask you about some of the highlights and momentum you've seen, just customer conversations post your user conference. You talked a lot about kind of the future of the industry, particularly as it relates to generative AI. How is your conversations with customers tracking? Anything you observed in terms of pipeline growth or deal activity post that event?
Githesh Ramamurthy: Yes. So I would not say that there's been a substantial change other than, as I mentioned in the call, we have expanded the use of generative AI from self-service channel to other channels, for example, for staff, for repair facilities, and we expanded that capability to Casualty. So I would say, across the board, the interest level remains very high, and we've had tons of conversations since the conference, and a lot of the conversations tend to be around not why but how and when in terms of usage, deployment and the like.
Operator: Our next question comes from the line of Jeremy Sahler of Jefferies.
Jeremy Sahler: This is Jeremy on for Samad Samana. So first, another question on parts. So you guys recently announced that Toyota selected CCC Promote parts marketing to the U.S. dealerships. I guess, can you talk about maybe what is the uplift of a win like that? And kind of what are the economics when a customer chooses to add like that CCC Promote module?
Githesh Ramamurthy: Sure. We -- first of all, we don't comment on any particular customer or the economics from any one customer. And so I'll give you kind of in a macro sense. So we have a number of OEMs that are actually customers on our platform. And what they do is that they make pricing, they provide simpler capabilities in terms of how their parts program can be more streamlined and adopted by repair facilities who are buying the parts and for insurance, so they might put packages together. So essentially, we work with all OEMs in some way, shape or form. And Toyota is one where we happen to actually make a formal announcement, but there are several others that we actually work with as well.
Jeremy Sahler: Okay. Got it. And then someone else mentioned, it's good to see that point of growth for emerging products. I guess how should we think about maybe the incremental investment required, whether that's kind of to develop these products further or to take them to market?
Githesh Ramamurthy: Yes. I would say this is what we saw if you roll the clock back, I would say, 4 quarters, right? So if you roll the clock back 4 quarters, we start to see that we have some unique competitive advantages with generative AI, with the platform, with the network, and so we started increasing our development spend starting about 4 quarters ago and added 20% more capacity. And the beauty of that is a lot of those people are now up to speed, contributing very productively. And so this capability is being applied in really a whole range of areas, for example, in Subrogation, in Diagnostics, in broader STP, in Casualty. So we're really starting to see that ability come on stream. And if you look at second half of the year, the goal is not to add that kind of capacity because we now need to digest and make sure these releases are being used by customers and tested and the like. And we feel very good about the capacity and the capability we have.
Operator: Our next question comes from the line of Chris Moore of CJS Securities.
Christopher Moore: So Githesh, you had mentioned this in your prepared remarks and touched on it a few times also. But you talked about the CCC expanding the use case for Estimate-STP's  AI-based computer vision technology into the repair facility, field adjuster channels. Can you maybe talk a little bit more about how that works and how soon products would actually come to market there?
Githesh Ramamurthy: Sure. I would say we are in testing in all of those markets. So this is -- that's where we are. We've done a fair amount of work in these areas. And the way it would come to market is that, for staff adjusters, that would essentially be a package or a component to be added inside of insurance -- components that insurance customers are buying. And then on the repair facility side, we haven't fully sorted out exactly from a revenue model, but it would be included in some one of our repair packages. But more fundamentally, though, what we're excited about is that there's a huge shortage of estimators and staff on the repair facility side of the business. And what customers are super excited about is the ability for the AI to take consumer photos and generate a predictive estimate, so someone can look at it and see, "Hey, do I have capacity to take this car in? Can I schedule it?" It provides a lot of downstream benefits, and it's also integrated deep inside the CCC ONE platform. And we probably end up -- so that's really how we see it from a deployment standpoint. Does that answer your questions, Chris?
Christopher Moore: Yes. Got it. No, it does. That's perfect. Yes, most of my others were answered. I will leave it there.
Operator: Our next question comes from the line of Gary Prestopino of Barrington Research.
Gary Prestopino: A question on the parts procurement business. What -- who drives the adoption of using an electronic means of ordering parts? Does that come from the insurance companies kind of demanding that it be done? Or you're just having a better mousetrap for the repair facilities to order parts in a more efficient pace?
Githesh Ramamurthy: I would say fundamentally, it's from our repair customers. So it's really the repair facilities who are ordering the parts. You have to remember, insurance companies do not order parts. It's the repair facilities that, in the process of repairing a vehicle, the parts list is generated by the estimate. So when you have an estimate coming out of CCC ONE that says, "Hey, these are the 13.1 parts -- or the specific parts list I need." And then you can from -- because it's integrated into CCC ONE, you can go click, click, click, choose your provider, your supplier. Again, we're not dictating any of those mechanisms. The repair facility is setting up their favorite providers, their parts participants. They're making the selection. What we're doing is streamlining the entire process and the accuracy of getting the right part into the repair facility, getting the electronic invoice from the parts provider, reconciling that into their system. Those are the things we're doing. So I guess, simple answer to your question is having a very clean, easy-to-use solution, which provides big benefits to the repair facility market mix is really what drives this.
Gary Prestopino: So in the repair shops or entities that I've been in, I mean, there's -- as you say, there's a lot of this done on the phone. Does your system electronically have the ability to -- with artificial intelligence, to say, if a car takes a hit on the right front quarter panel, you're going to need a right front quarter panel, but 90% of the time, you may need a sensor or something? Can it automatically recommend that and say, "Hey, would you need a sensor for this?" Trying to increase the total value of the order?
Githesh Ramamurthy: Well, again, our focus is not to increase the total value of the order. Our focus is to get it as accurate as possible. So to that degree, what we do is we take pictures of the vehicle. And because we have millions and -- literally hundreds and hundreds of millions of photos, prior accidents and estimates and the like, we can actually look at this front right hit of this particular vehicle and say, with this level of depth of damage, we also have 3D mapping and the like, so we can tell how deep the damage is and actually predict a lot of the parts pretty accurately. And oftentimes, there are minor parts -- you might be missing a $0.50 clip. You might be missing 6 clips, which might be a total of $3 out of a $5,000 repair, and that could delay the repair by days. So getting some of -- more of that completeness can actually have a big difference. So we are able to do that. But right now, that capability is not deployed. That is what I talked about estimate-STP being deployed down the road or that's what we're testing to deploy it with our repair facility customers.
Operator: Our next question comes from Arvind Ramnani of Piper Sandler.
Arvind Ramnani: Most of my questions have been asked, but I want to follow up on some of the color you gave on AI and some of the kind of areas you're using it. From a financial model perspective, where are you starting to see some of those benefits? Is it like already kind of improving your revenue growth or your margins? Or is that still something that's probably like a year or 2 out before we start to see material improvement?
Githesh Ramamurthy: Brian, do you want to take that one?
Brian Herb: Yes, absolutely. Where we're seeing it, Estimate-STP is an example where AI is in production being used in generating revenue today. So that's an example of AI being used and getting rolled out. And we've talked about Estimate-STP and how it's contributing to growth. It's one of our emerging solutions. We highlighted emerging solutions contributed 1 point of growth in the quarter. So that's one example where we're driving -- that is being rolled out, used by clients and generating revenue. When we think about the other AI examples, Githesh referenced the Casualty example in his prepared remarks. Again, that will be a revenue-generating solution, and other products like Subrogation will be using AI or have AI embedded as well, another area of revenue generation. So revenue will be the solution rollout and revenue generation will really be the driver for AI going forward.
Arvind Ramnani: Great. And just if I can follow up on that. These are sort of direct kind of contributors. Is there sort of an indirect contributor that sort of informs your win rates or conversion rates or ability to kind of keep your rates -- your bill rates at a particular level? I mean I know that may be hard to sort of fully quantify, but are you starting to see some of those benefits, even qualitatively, that these kind of innovative solutions are driving conversions?
Githesh Ramamurthy: Yes. I'll just make one macro point, which is we've worked with our customers for a very long period of time, right? If I look back at just the 10 quarters that we've been public, 10 quarters, we've added solutions to our existing customer base on a pretty wide variety of fronts. Revenue in the last 10 quarters has gone from a run rate of about $632 million to a run rate of about $848 million, which is an increase of about $200-plus million. EBITDA has increased by -- from 220 run rate to about 320-plus in run rate. And this has come about not from any one particular solution or any particular modeling, but the fact that we've delivered new products, solutions, innovations with very specific ROI to different components of the process for insurance and for different components of the process for repair facility, different components of the process for parts providers. So at this stage, it's really a portfolio and a mix of what we have and in things like subro, we're doing things that are fundamentally new and first of its kind that are very, very unique, and we're seeing a lot of engagement. So Arvind, it's hard to give that particularly quantified answer other than we have a long track record, even just the 10 quarters that you've seen in our public numbers, our growth has come primarily through new products and introducing solutions that deliver benefits to customers.
Operator: At this time, I am seeing no further questions. So at this time, I would now like to turn it back to management for closing remarks.
Githesh Ramamurthy: Well, thank you all for joining us today. The durability of our business model continues to come through, and we remain confident in our ability to deliver on our strategic and financial objectives while also helping our customers and keep investing in future solutions. This week marks our 2-year anniversary of returning to the public markets, a very interesting milestone in our journey as a public company. And most important, I'd like to take this opportunity to thank, first and foremost, our customers, for their tremendous trust that they place in CCC every single day. I also want to thank the CCC team for tremendous execution and dedication. And of course, last but not least, I'd like to thank our shareholders for your ongoing trust in CCC. We look forward to talking to you again in early November when we report our third quarter results. Thank you so much for continuing to trust what we do.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.